Operator: Good day ladies and gentlemen and welcome to the Entergy First Quarter 2015 Earnings Release and Teleconference. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today’s conference Mrs. Paulo Waters, Vice President of Investor Relations. Ma'am, you may begin.
Paulo Waters: Good morning and thank you for joining us. We'll begin today with comments from introduced Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO, will review results. In an effort to accommodate everyone with questions this morning, we request that each person ask no more than two questions. In today's call, management will make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to a number of risks and uncertainty that could cause actual results to differ materially from those expressed or implied in the forward-looking statements. Additional information concerning these risks and uncertainties is included in the company's SEC filings. Now I'll turn the call over to Leo.
Leo Denault: Thank you Paula and good morning everyone. 2015 is an important year for Entergy because it would be one in which we continue to execute the strategy that we’ve been pursuing for some time. As we report results for the first quarter, I’d like to start by putting the progress we’ve made in some perspective. Two years ago we laid out an ambitious agenda for the future we wanted to create one in which Entergy was growing because our communities and customers were prospering. One goal in that agenda was to deliver stability and efficiency by maintaining solid financial putting and by making Entergy a more nimble organization one more aligned with the changing energy landscape. To that end we joined MISO and also began the process transform the way we work by removing cost from our business and aligning talent and resources with strategic company imperatives. Another goal was to provide clarity, a well defined path forward identifying what business initiatives the company would focus and the timeline for execution. We accomplished this by first articulating our vision and mission for the future simply but precisely. We filed and concluded several major regulatory proceedings including four rate cases representing 80% of utility retail sales which provide clarity on future earnings opportunities. We also ended our efforts to spinoff and merge our transmission assets by ITC. Finally we said that our well defined path would focus on seven major strategic imperatives which will refine down to growing the utility business, managing risk and preserving optionality at Entergy wholesale commodities. As many of you may recall from our Analyst Day presentation last June we outlined our plans to achieve these imperative. Over the past year we have continued to provide greater detail as to how we intend to capture the opportunities available to us and today the picture is much more complete. We have filled in details of what we aim to achieve, how we will achieve it and a timeline for execution. In terms of performance, results and growth, we continue to be in line with our expectation. In the near term financial results for the first quarter of 2015 include operational earnings of $1.68 per share. That’s a strong start to the year and while it’s still early, it is clearly in line with our expectations for full year results. Andrew will elaborate on this in a few minutes. On our strategic efforts, a brief look at that confirms the soundness of a number of the business decisions we made over the past two years many in partnership with our regulators. For example, joining MISO has proved enormously beneficial to our customers. In the first year alone, customers across the utility realized nearly $240 million in energy related saving exceeding expectation. Consistent with our expectations the utility also realized substantial capacity related savings due to the lower reserve margin required within MISO’s larger footprint. With an industrial renaissance underway in the Gulf South region fueled by low natural gas and electricity prices, it became clear that Entergy’s utility business was well positioned to capture an enormous growth opportunity. In order to meet this opportunity, we expanded the number of people dedicated to growing our industrial customer base. This team laid out a detailed map of where the opportunities would likely materialize to develop the customized strategies to serve these new and existing customers. With an effective partnership with state and local officials, we have worked tirelessly to help to track industrial customers to the legion and as of March 2015, the Entergy utility business has experienced seven straight quarters of industrial sales growth. As we said we would, we are leveraging this opportunity, this industrial renaissance provides keep our customer rates low while modernizing our operations, strengthening reliability and growing rate base. Some important examples of this include, our announcement last year to purchase the Union Power facility in Arkansas, the completed construction of Ninemile 6 ahead of schedule and under budget and planned transmission builds in Louisiana, Texas and Arkansas. Importantly, we are also taking deliberate steps to create the financial flexibility we will need to drive even more growth. Our current effort to combine Entergy Louisiana and Entergy Gulf States Louisiana is one good example. Obtaining authorization for a purchase capacity either in Texas in addition to the existing transmission and distribution providers is another. Focusing specifically on 2015, as you can see on Slide 2 it promises to be another busy year. We have set our sights on accomplishing a number of important tasks this year and we are on track. For example, Ninemile 6 began commercial operation in late December and we were pleased to welcome the Louisiana State officials and members of the LPSV to its official grand opening in January and out of the construction of a new high voltage transmission project necessary to maintain reliability in the Lake Charles area load centre, among the largest in Entergy’s history. MISO Board approved the project last week and we will be filing for LPSC certification very soon. In Arkansas Governor Hutchinson signed legislation that establishes a formula rate plan for the forward test year and also addresses evidentiary considerations in setting return on equity and the proper method to determine the AFUDC rate. Because it eliminates the need for a major base rate case every two years to three years, this law will allow Entergy Arkansas to align rates with investments in a timely manner to focus time and resources on activities that create sustainable value for the state including job growth. In Mississippi, within the recently approved rate case and a new law passed this quarter, we now have a well-defined rate structure including forward looking feature, available credit, faster recovery that will allow us to attract new customers and businesses for the state. We’re also making progress on task that we have targeted for the second quarter. For example, last Friday Entergy Arkansas filed its base rate case requesting to recover cost that result in $167 million increase including a 10.2% ROE a formula rate plan with a future test year. The latter would be further recently approved legislation We expect new rates to go into effect in early 2016. New rates associated with the formula rate plan to go into effect in early 2017. It is worth noting that after this case is resolved we expect to have two utilities operating under rate plan plans with forward looking feature. In fact, nearly 85% of expected rate base in 2017 will be under FRPs or other formulae rate making mechanisms. Over the next few years at the utility our priority is to continue to implement our resource plan, which we are calling power to grow and which is designed to allow us to support the economic growth in our service territory and maintain reliable service to existing customers all while keeping rates low. And by 2020, you see a need to construct approximately $3.7 billion and new generation resources consisting of six new power plants. We also expect 635 miles of new and upgraded transmission to come online by 2022. First most of these projects were subject to approval by our regulators, we will be making the necessary filings seeking those approvals. Let me give you a bit more detail about both the generation and transmission needs that comprise in the utilities power to grow. On the generation front, utility supply plans include for example three new build VCDT. More specifically, we are planning for whether through self-build or other agreements one 800 megawatt plant in the mid-south region pending the results of the RFP that is underway, to solicit proposals for new generation in this region of our system. The other plan would be in Wotab, specifically within the Lake Charles area, which is experiencing rapid industrial expansion. Completion of this facility is targeted for 2021. Third, would be in Texas, specifically the Western region also by 2021. The generation resources are in addition to the planned acquisition of the Union Power facility as well as the construction of Ninemile 6. It is important to know that as with the 2020 Amite South facility to help build projects with the other new plants I mentioned would be marked tested via RFP or other mechanism as directed by our regulators. But the need to modernize as well as to meet growing demand is clear. In addition, to support near-term needs, we anticipate adding one CT plant in the Lake Charles Louisiana area by the end of 2020 as well as CT in New Orleans in New Orleans in 2019. Both of these plants will further diversify our generation portfolio by providing quick start peaking capability, serve growth and meet occasional reliability need. On the transmission front, our resource plant includes significant investments in transmission to the new and evolving NERC requirements as well as facilitate committed and expected growth and attract future growth. Major projects include the $62 million project we announced this month in Arkansas, build 24 miles of line in part to attract new industrial customers. In Texas over the next two years we have approval to build three 230 KV transmission projects filling more than 65 miles of line and more than $150 million in investment. In Louisiana we plan to make significant investment about $56 million, in new high capacity transmission facilities in mid-south which will make economic energy available to our customers and ensure reliable service in the heart of this industrial load pocket. In addition, we intend to build an approximately $187 million project including contingency in the Lake Charles area and action recently approved by the MISO board. I'll make a note here that everything I've just listed has been part of our capital plan for some time. We began by identifying the context in need, moved to the level of investment we thought it would take, and have now named specific projects, which merely provide detail and clarity. As I have noted the power to grow projects will bring significant economic and reliability benefits to the customers and communities we serve and if our plants are approved we'll translate to $8 billion of capital expenditures over the next three years resulting in $3billion to $4 billion in incremental rate based growth. $1.05 billion to $1.1 billion in utility net income and utility parent and midpoint earnings per share are between $4.50 - $4.90 by 2017. In addition to this activity we are in the early stages of reviewing new investments and they could provide significant value to our customer. As we have before, we are identifying need in context and as these specifics begin to emerge, we will provide more. For example in Louisiana, the staff of the public service commission issued a composed order establishing a pilot program that would deploy instruments to stabilize natural gas cost including acquisition of supply to a direct interest or joint venture. Recent Mississippi legislation also supports such investment by providing for rate recovery and capital investment in natural gas reserves in order to foster long-term stability in the cost of fuel. We will also continue to evaluate opportunities for operational, reliability and customer service improvements as the industry continues to evolve and these could involve investments in the grid. We will work again in partnership with regulators and policy makers to achieve legislative and regulatory frameworks that support constructive outcome, both for our business those it serve. This is a long list, but we know that everything on it is important. If we continue to make progress on this list, as we expect to do, we continue to deliver good customer service with a more modern and reliable system that can accretive return levels and if we do it all while maintaining our rate advantage we will have creative value for all of our stake holders. The stability and financial flexibility created by these actions will help to put us into positions as discussed a dividend increase with our board of directors. A discussion that could come as early as this fall. Turning to EWC, here to over the past two years we've made progress on resolving numerous uncertainties and improving productivity. Most importantly, our EWC plant have operated safely and reliably. The nuclear fleet's average capacity factor over the past five years has exceeded 90%. We also made it a priority to better align our commercial and operational teams. If this alignment would be the foundation of everything we sought to achieve, the substantial values subsequently created by our risk management in hedging activities particularly during periods of extreme market volatility, these evidence are success in this regard. Our confluence factors resulting in much lower prices and less volatility this past winter in Northeast markets, our portfolio remains well positioned to capture upside from volatility as we see reserve margins decline and inadequate fuel supply infrastructure for the foreseeable future. We also made progress towards resolving some of the uncertainties surrounding the license renewal at Indian Point. We did this in part by successfully arguing the plant is grandfathered under the New York Coastal Zone Management Program. All this decision is being appealed by the New York State Department of State, we continue to believe that based on the facts we will be successful in extending the license life at Indian Point into the next decade and beyond. We remain committed to working constructively with the state of New York and regulators in this process. All the recent shut down of Vermont Yankee as well as the ongoing investment growth at utility has diminished with absolute and relative side, EWC remains an important asset in the Entergy portfolio. As we look to the future we will continue to focus on operational excellence and adapted commercial approaches. We'll also continue to advocate for changes to price formation and reform of the Northeast market structure. Continued out of market policies and intervention at state and regional level have made clear the critical need for federal guidance and direction in independent system operator who is been -- is responsible for competitive regional market. In particular, we believe guidance is needed in implementing new policies for both capacity and energy pricing, which are market based, for more transparency and provides fair value to attribute to provided by each type of generating resource. Entergy has been an active participant in many proceedings including clear and competitive market. Also initial signs of problem recognition are emerging. Generators and restructured markets left the constructive changes implemented in the near future. Without such change, sustainability of otherwise viable existing generating units will continue to be at risk especially given the investments required to properly maintain and reliably operate these facilities. We remain committed to working constructively with the FERC and the ISOs to achieve fair and balanced competitive markets in North East. In 2017, based on market crisis at the end of the March, we estimate EBITDA of $540 million at the EWC. Two years ago we redefined our mission, be a world class energy company in business to create sustainable value for all our stakeholders. We set plans and strategies to live that aim. I am pleased to report on our achievements for each stakeholder. Our owners, we set our objective to deliver top quartile returns in 2014, we did so. All our customers, we said we wanted to achieve best in class service. Most importantly to do this by keeping power flowing, when the lights do glow, getting them back on as quickly as possible. This June, the Southeastern electric exchange would recognize Entergy with its Chairman's award, our transmission team work restoring power, quickly and safely, after last year's tornadoes. Also this year perceivable reasons and for the 17th year in a row, EEI with its emergency recovery award. We said we would maintain our rate advantage. Today our average retail customer rates across all classes are 20% below the national average. We said we maintain our commitment to support the communities reserve. Last year alone be contributed more than $16 million in numerous agencies foundations and other organizations, all working, make our communities better. The recognition of our performance on this front, we are recently named to Corporate Responsibility Officer magazine's ranking of 100 best corporate citizens. We are proud to be number 36 overall as well as the top ranking utility. And finally to our employees, we said we would cultivate a culture, rewards and fosters achievement, in doing so we would create a company that everyone is proud to call their own. This effort will never have an endpoint. Everything I talked about today is evidence of our success on this front and the credit goes entirely to the 13,000 plus people across Entergy. So again today it is clear that Entergy is on a path to create sustainable long-term value for its stakeholders. We believe our track record of achievement over the past two years of service is an evidence of what we can achieve in the years to come. Again, in terms of performance, result and growth at Entergy we are where we expect to be. We are in track to accomplish what we set out to achieve/ And with that, I'll turn it over to Drew.
Andrew Marsh: Thank you, Leo, and good morning, everyone. Before I get to the quarter's result, I would like to spend a few seconds on our new quarterly earnings package. The release and appendices focus largely on results on or forward-looking disclosures are primarily in the webcast presentation. We have also made a few additions and on which I'll point out as I go through the results. In case you're having trouble finding a particular item, we are provided a cross-reference on the page 22 of the release. Our earnings package is organized a little differently, but the disclosures that you depend on are still provided. Hope you will find the new items all responses to your feedback. If you find that is not the case, report to us now. Now let's turn to the quarterly results. Slide three summarizes first quarter consolidated earnings per share. Operational results exclude special items from the decision to close Vermont Yankee, and the HCM implementation in 2015. Operational earnings per share were 1.6, a $1.68 in the first quarter of 2015, lower than the $2.29 per share earned in 2014. The quarter-over-quarter decline was largely attributable to lower wholesale energy prices at EWC. Slide four summarizes first quarter EPS with the utility and parent and other. Combined operationally EPS was $0.97 per share in the current period, compared to $0.90 in the first quarter in 2014. Utility net revenue was the base driver and billed retail sales increased 1.5% on a weather adjusted basis. Once again the strongest growth was in the industrial class. Quarter-over-quarter nonfuel O&M increase mostly in line with our expectations. In the near term, expenses were higher by $0.07 due primarily of planned maintenance outages. Nuclear spending increased $0.04 due largely to higher regulatory compliance expenses. Other expenses increased to $0.10 of the quarterly variance, most of which have direct cost recovery in net revenue including energy efficiency cost and MISO administrative fees. Utility first quarter 2015 results included an income tax benefit as well. You probably noticed that we added a new adjusted earnings view that endeavors highlight the underlying performance of the utility business with parent and other which combined on the basis of our dividend policy. Turning back industrial sales for a moment on slide 5, they came in at 2.9% higher than last year. The growth was again across almost all customer segments. Chemical saw the highest increase primarily due to core alkali and petrochemical customers. Transportation segment was also strong. Other industrial sales increased -- although industrial sales increased they were lower than we expected due to customer outages and some delays with new customers and expansion projects. Moving to EWC, slide 6 shows both EBITDA and EPS for the quarter. EWC operational adjusted EBITDA was $254 million in the current quarter about $200 million in the last year. Closer of Vermont Yankee and is mostly un-hedged position last year down than more than half of the quarter quarter-over-quarter decrease. Closer of VY also affects every line item and that makes the understanding detail drivers difficult. There for in spite 27 and 28 in the appendix provide additional information to help you navigate. Excluding VY, net revenue will still remain driver for the EBITDA decline as wholesale energy prices in the first quarter of last year was significantly higher. Now in VY nuclear generation increased on fuel refueling outage. On an EPS basis, EWC’s operational earnings were $0.71 per share lower than the $1.39 a year ago. In addition to the drivers already noted EWC had a higher effective tax rate and higher realized earnings on decommissioning trust about half of which was for VY. Briefly moving to slide 7, OCF was $611 million in the current quarter, about a $150 million lower in 2014. The most significant driver was lower net revenue from lower wholesale energy prices with EWC partially offset by higher net revenue at utility. Now let’s turn to forward looking information. Slide 8 summarizes our 2015 operational earnings guidance which we affirm today with the midpoint of $5.50 on a range of plus or minus $0.40. We are ahead of expectations through the first quarter as it still in the year and our expectations for the full year remain on track with our original guidance. As we look at the longer term expectation, slide 9 summarizes our EWC EBITDA outlook based on market prices as of quarter end. You will note that they have not changed much till end of the year despite the volatility between then and now. We are still bullish on power and natural gas versus the current market but not as bullish as we were and that means that we now expect EWC’s EBITDA will be below our previous point of view expectation. That said we received consistent feedback that the [POV] based EBITDA has been a source of confusion since we introduced it last summer. Markets have been within our point of view range and below our point of view and multiple times over the last year and again that EWC markets and by extension earnings a volatile. To simplify we are returning to our previous practices of externally communicating only the market based EBITDA expectation and to this gladded in the related of today. We will continue to provide our point of view on the market but not those specific point of view EBITDA estimate. While on EWC continue to receive questions regarding impairment. As in the current quarter we’ve not incurred an impairment law but we continue to monitor this issue which includes consideration of the expectation of future economic conditions particularly price levels is also stat of operations in the caring value of the asset. Keep in mind, impairments would not affect our decisions with respect to continued operations of the plan. Slide 10 reflects our 2017 outlook for utility and Parent and Other. The utility outlook remains on track for 2017 operational earnings of 1.05 billion to 1.1 billion. As we have said before, this includes our statutory tax rate and pension discount rate of 5%. Foundation for utilities growth outlook is it capital investment plan, continue to expect 5% to 7% [indiscernible] through 2017. Nearly $1 billion union acquisition and other potential generation refresh our aging fleet as well as to meet new customer loaded clients. And by transmission investments to meet noted requirements and customer reliability needs industrial expansion. In addition of the capital investment plan we will need to execute on rate cases in our Arkansas, Texas this year to achieve our objective. Few final comments on financing activity before I conclude, into deep corporation have $550 million five years notes which will come due in September this year. And with finance those notes and advance from maturity date possibly as early as this quarter. We are also amending Entergy Corps $3.5 billion credit facility along with $650 million of companion operating company line of credit to extend for one year and to account for the ELL EGSL business combination. Lastly on March 31st S&P revised its rating outlook for Entergy Corp and its subsidiaries to positive from stable. S&P specifically noted increased focus on our regulated businesses, the expectation for above average utility sales growth and recently passed Arkansas legislation and other factors that are expected to continue to strengthen our business risk profile overtime. As we’ve said, we’ve made a lot of progress in the last couple of years and we remain on track to achieve our objectives, over the next few years, and create real and sustainable value for our key stakeholders, our owners, our customers, our employees and our communities. And now the Entergy team is available for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Julien Dumoulin of Smith of UBS. Your line is now open.
Julien Dumoulin: Now, could we address, first off, the sales growth? You addressed it at length in the commentary, but perhaps can you jive the first-quarter 1.5% relative to the full-year target? And also in contrast, I see that -- I suppose, in your guidance, you talk about utility revenue up $0.55 for the year. And I think you hit it net about $0.25 though, a constructive commentary there, where do you stand viz-a-viz the EPS as well? So the percent change in the EPS on the utility, if you can? 
Andrew Marsh: Theo, why don’t you start, and then if you could.
Theo Bunting: So Julien I’ll maybe address your first question in terms of the growth. As Drew said, the 1.5% was primarily impacted by what we saw in the industrial sector in terms of where it came in at 2.9%; most of that that was driven primarily in two areas. The timing of new and the expansion project, that we expected in the first quarter, as well as the one time unexpected issues with just some of our existing customers. And those two issues roughly represented about 50% of the difference in terms of what we expected versus where we ended up. So clearly that seems we’ve had some softening in the first quarter. Clearly some of that we will see pick up as we go out into the year in 2016 and 2017. So it doesn’t change our overall expectation as it relates to 2017 at this point in time. What I’ll also say though even with the 1.5% growth as you mentioned our revenues were still strong and revenues got fairly much close to our expectations. And so it’s still early and we’re still assessing what we believe will be as we go through the year, but I mean the first quarter delays clearly could dampen our 2015 results but again as Drew mentioned early we still see ourselves in our earnings guidance for 2015.
Andrew Marsh: Yes this is Drew and I’ll just add that in addition to what Theo said we do have some cost in that top line which are offset in O&M, so I think in my comments talking about around $0.10 is other stuff, for some things like MISO cost and energy efficiency cost that – we’re a little ahead of where we expected them to be and they’re offset in that net revenue line so that’s that part of why the net revenue line is higher than maybe what you’re anticipating as well.
Julien Dumoulin: Got it. But just to be clear on the sales growth, its fundamental delays is not necessarily a shift in the fundamental outlook for a decline in the commodities, et cetera? 
Theo Bunting: Yes I mean what we thought primarily was just our shifts and timing. As we’ve said from an oil price perspective, we still don’t see any significant impact. I mean we fundamentally believe a large majority of our industrial growth through ’17 is coming from projects that are already in advanced stages of development and first quarter didn’t change that.
Leo Denault: This is Leo, Jul, I’d just add. We’ve mentioned this before but I guess just it garnered some reinforcement. Lot of these expansions into our new customers, they’re big projects. And they target a date that it’s not uncommon for capital projects in the 100s of millions of dollars or in some cases the multi-billion dollar range a month or two here and there. So that may or may not occur in line with what we would have expected from time-to-time also.
Julien Dumoulin: And then secondly, if you don't mind, a kind of bigger picture question on dividend, you alluded to it earlier. What's your targeted payout ratio? Or how do you think about the dividend in the context of the EWC business and the utilities at this point or prospectively?
Theo Bunting: Well from EWC business, you don’t think about it at all. The dividend is purely from utility Parent & Other and we had outlined at the Analyst Day, our expectations that 65% to 75% payout ratio of utility Parent & Other Earnings was our target.
Julien Dumoulin: Got it. So perhaps in looking at that initially here, remaining towards the top end of that range, would that be a fair statement as you think about growing that in the 2016 timeframe? 
Theo Bunting: Well, when we look at it, just to put some context about it. Our objective being to return capital to shareholders and to do it on an attractive sustained basis, we’re looking to create an era of sustain dividend growth. So as we look at their growth in that segment of the business, we’re going to chase the payout ratio and have the dividend jumping around a lot. We’re going to look for sustained growth in the business, and we’ll make recommendations in the board, put together a path with the dividend that achieves that consistent with what those long-term earnings growth power would be. So we’re going to review that as we always do every year. But when we get into this fall, it's going to be reviewed in the context of the growth that we continue to believe. This is going to occur within that segment as well as other factors that the board will consider like reinvestment dollars that we have to put into the dividend et cetera or into the utility business, but that’s primarily the way we’re thinking about it.
Operator: Thank you. And our next question comes from Paul Patterson of Glenrock Associates. Your line is now open.
Paul Patterson: I was looking -- I was a little bit confused by the decommissioning benefit that you guys have in the release. As I recall, you guys were expecting the decommissioning expenses to increase. So I was wondering, is that decommissioning -- how should we think of that decommissioning and guidance? The decommissioning trust fund and what have you, and the benefit that you saw in the quarter versus the rest of the year? 
Theo Bunting: It’s a good question Paul. So when we were in EEI, we talked about $20 million to $25 million of net income drag from -- and ’15, in ’16 and then it kind of trailed about 10 after that. So we do expect that the comedown as critical aspect of the decommissioning process lined up, lined off, I should say. But since the EEI as we go closure to the actual shutdown date and we started to need to make decisions around how we’re going to manage that decommissioning trust. And it become clear that we needed to be de-risking that trust as we moved to the first phase of decommissioning, which cause have to turn over a portfolio a little bit more than we had previously anticipated. And so we’re trying to do that at a nice ratable basis as we go through the year, starting a little bit last year and it will probably continue on into a little bit into the first quarter maybe even next year. But it should be about $0.04 or so each quarter, is kind of what our expectation is. And that over the course for the year is going to take up a lot of the offset drag that we were anticipating for ’15. So -- overall for the year would be anticipated now to be about flat or maybe even slightly positive or I would say about flat is the expectation.
Paul Patterson: For the full year?
Theo Bunting: Full year.
Paul Patterson: Okay. So there's going to be -- okay. And then in terms of the zone changes in New England, I was wondering if there was any impact on you guys -- and this is in terms of the point of view change -- well, not the point of view change, but has there been any quantitative change in the point of view? I know you -- directionally, you guys are bullish, but has there been any -- anything in terms of your outlook for the markets that has changed quantifiably? 
Theo Bunting: Yes, Paul. We have in fact lower point of view from our natural gas perspective, obviously that close through power prices. However, we still do remain bullish compared to the market overall. As it relates to the zone in the New England; it’s really a tough call in terms of where those markets end up. We’re still working through that, but really there is a wide range of outcomes depending on supply demand balance. And so right now, I don’t have anything to share specifically as it relates to a price range. We’re trying to get more information from the ISO and further evaluate that.
Operator: Thank you. And our next question comes from Greg Gordon of Evercore ISI. Your line is now open.
Greg Gordon: Can you talk about the -- what your earned return on equity has been in Arkansas? And given the recent changes in the regulatory structure there, and your intent on filing under the new structure, whether you think you'll see -- over what trajectory you think you'll see improvement in that return?
Bill Mohl: Excuse me, yes, sure Greg, this is Bill. I believe if you look at the pocket -- webcast pocket, it was slight -- a normalized, it was about 5.9% for the last 12 months ending March 31 of this year. And clearly what the perform and what the rate case filing, we expect that you think about the impact and rate case filing and the revenue impact as well as net income impact, we see Arkansas as we go forward ’16 and beyond with the formal rate plans forward test here making significant movement to earning there a lot of return.
Greg Gordon: Okay. So you think the balance -- that you'll be litigating that case for the balance of 2015. And to the extent there is a change, and we'll see that show up in 2016? 
Bill Mohl: Yes. I mean hopefully an effect, there is a large statutory period in Arkansas and while we don’t have a procedural schedule set just yet, we would expect to see the case playing out through the remainder of 2015 and we would see the latest rate impact in March from the filing date which was last Friday.
Operator: And our next question comes from Daniel Eggers of Credit Suisse. Your line is now open.
Daniel Eggers: Just going back to the point of view comment or kind of the change there, I think previously it looked like you had about $100 million or $150 million of POV uplift for 2017. How much has that point of view changed? And does that have any bearing on kind of the 2% to 4% EPS growth target you guys provided starting back at your Analyst Day? 
Andrew Marsh: This is Drew. I’ll take first crack and then I will let anybody else to jump in. But as it relates to the EBITDA uplift that we’re talking about, before I think it was 650 million to 700 million. And as we kind of gone along and prices has stayed along and gotten closer and closer to those periods, it's less than less likely that we would make it into the range. And so our point of view as that slipped in the timeframe that we’ve talked about below that 650 fresh oil, I think. Last quarter we are right about the edge and now we’re a little bit below. So that’s what’s happening within. As we look out, we still have a bullish point of view that’s start to ride as we get beyond the period that we’re talking about, but it’s been pushed further out as we've gone along. As it relates to the 2% to 4%, I think the primary driver at the utility continues to be right on track. The utility and the Parent & Other combined entity in fact we've given those ranges for 16 and 17. Those are still very much intact. In fact, we’re looking for additional opportunities, maybe even in the ’17 timeframe. But as EWC is the part of that earnings mix, it doesn’t look like at this point that EWC would allow us to make it back into that particular range. However you never know stranger things happen in 2017 and particularly still pretty far away. So we wouldn’t say, we can’t make it, but right now as we look at our view, we’re probably just below that level.
Daniel Eggers: Got it. Thank you. And I guess just on the gas reserves and rate base conversation, can you maybe just share a little more detail on how those two processes are going to work? And what you guys have from an overall annual natural gas burn rate? 
Theo Bunting: In terms of, Dan, it's Theo -- in terms of how those process works, we have the pilot program Leo mentioned in Louisiana, and we'll be filing comments relative to that, this month and that will progress based on the commission's directives, in terms of how they moves along. At this point, we are just -- we're exploring options. And the timing of that is going to depend on the form of the investment and again how that plays through the regulatory process. In terms of gas burn today, I'm not certain, I can't tell you exactly how much it is. We would probably just have a follow-up and give you that information.
Leo Denault: I would just say, Dan, I mean, obviously given the nature of our fleet, or gas burn is pretty significant. I don't have it at the top of my head, have the -- how many it is a day -- we are talking about that -- 
Andrew Marsh: I'd say, it's true -- I said it's going to be a small amount of our overall gas burn to begin with. We are not going to be able to jump in and hedge our entire supply. As Leo said, I mean it's very large, and we're spending in the neighborhood of $3 billion a year on gas supply, maybe a little lower because prices are lower today. But it's a significant amount, and so we would be trying to carve out, at least initially small layer that would allow us to kind of get our feet under it and we really appreciate how this is going to work through all the barriers, operational processes as well as regulatory process.
Daniel Eggers: And I don't want to ask a detailed question, but I'm not going to anyway. The EWC guidance for this year at $0.70 versus the $0.71 you did in the first quarter, I know you don't want to update guidance too early, but is there a plausible case where you guys would not make money at EWC for the rest of the year? 
Theo Bunting: Well, if prices went lower, yes. But I don't think that's our expectation. I think we are a little ahead of schedule through the first quarter and we expect to do, to earn a little bit more, but as we are going along, the nature of the EWC business in particular has gotten highly seasonal and anchored towards really the winter timeframe. And so we do expect to make a little bit more money at EWC during the course of the year. The bulk of the earning at this point are completed through the first quarter.
Operator: Our next question comes from the Steven Fleishman of Wolfe Research; your line is now opened.
Steven Fleishman: Just a little more flavor this morning on the natural gas, pilot. And I guess you mentioned both Louisiana and Mississippi. Could you maybe give us a sense of just rather than an amount of gas, just potential investment size? Is this tens of millions, hundreds of millions, billions -- just some rough idea of potential scale of these investments? 
Andrew Marsh: This is Drew. It's certainly not in the billion at this point and tens of millions is probably too small. So it's going to be of in the neighborhood of 200 million to 300 million, maybe initially in that range. It could be a little higher or lower, but something like that, if we decide to move forward.
Steven Fleishman: Is that just Louisiana or is that both states? 
Andrew Marsh: That would probably be both states. I mean, Louisiana would be the bulk of it. Born is considerably smaller in Louisiana.
Steven Fleishman: Okay. And you mentioned in your prepared remarks that you have no impairments on EWC, as of the current quarter. Why did you even mention that? Is there something that you are particularly focused on there, to bring that up? 
Andrew Marsh: It's something that we get questions on from time to time and because of that we think that it's something that's been on investors mind. So we wanted to just make sure we where forthright with a discussion about it and make sure that everybody knew that it is on our radar screen, it's something that we are paying close attention to. That was the primary reason for it. 
Steven Fleishman: Okay. And just lastly, in the kind of overall utility outlook that you provided through 2017, would you say the kind of improved Arkansas environment was kind of assumed in there? Or would you say it’s a potential kind of upside to the utility point. 
Leo Denault: Hi, Steve this is Leo. I mean clearly as we lay out our plan we are in expectation about improving our results in Arkansas. So I would say, if you look at the growth that we see, there are primarily three main elements especially when you move from 2015 to 2016 utility, but the sales growth, its regulatory improvement in Arkansas and clearly it’s the union investment. So, we did have an expectation around that. In terms of whether there is upside or not it would be worth to find as we go forward and we move through the process of the case itself; that means the early case. But we had expectation -- to provide improved results in Arkansas as we laid our plans for 2016 and 2017. 
Operator: Thank you. And our next question comes from the line of Michael Lapides of Goldman Sachs. Your line is now open. 
Michael Lapides: Hey, guys, two questions. One, any plans regarding both near-term and long-term regarding the holding company level debt? Meaning is your anticipation to leave that debt there? Is your anticipation to make sure all of it is financed long-term and there's no short-term? You've done a good chunk of that already. Is the goal to kind of pay that down, so whenever EWC has cash flow, you can kind of get back to the mode, like you used to do a number of years ago, of being able to use EWC's free cash to buy back stock? Like, how are you thinking about short-term, one or two years? And then a three to five year cycle about what to do with the parent debt? 
Andrew Marsh: I’m not sure where to start on that one Michael. But there is a lot going on in that question. In terms of the capital structure, I talked a little bit in my prepared remarks about the parent financing that we have coming up. I think we’re going to do fixed rate notes, we’re going to refinance those this fall, or maybe even much earlier than that. We have a lot of financing activity going on the second half of the year with the Parent note coming due, the anticipation of the union acquisition and all of the -- and the financings that we’ll have to go on with that at utility level. And then because of them ELL-EGSL combination, we have to redo revolvers for those businesses. And while we are at it, we’re going to go ahead and redo the entire thing. So, we’re going to probably do that a little earlier in anticipation of the ability to close that combination. So those are the main activity things and in terms of going forward, we are continuing to anticipate that we’re going to carry that short term debt for a while and it’s going to continue to float. The short term rates haven’t moved too much and certainly we have lot of exposure to interest rate on the pension side of our book. So any movement on that side is balanced pretty well on the interest rate side for the roughly $1.5 billion of short term debt that we have. So, we would anticipate that we would change that anytime soon. And as we think about the overall Parent debt capital structure including both the short-term variable and the fixed rate, these we’re still targeting at 18% to 20% Parent debt to total debt ratio. So, we could probably be a little bit above that this year as we close through the union deal. We’ll probably draw a little bit more on that but over the next few years we do see it trending down and provided we don’t come up with a whole bunch more investment opportunity. So those are the kind of the main thing, we’re going to continue to kind of maintain our capital structure at the parent level for the time being as it is today. But obviously we’ll be looking for other ideas and opportunities as we go along. And I think that answers everything that you had in your question Michael. 
Michael Lapides: Yes, that's perfect. An unrelated question. A while ago, a year or a year and a half ago, there was a lot of discussion about Palisades in terms of operating performance -- NRC oversight, a handful of other things. Can you just kind of touch base on that a little bit? It's been a while since I think you've talked about it, so I just want a sanity check what's out there.
Bill Mohl: Sure. Michael, its bill. Palisades has been running extremely well, above a 90% capacity factor. The one issue we have out there is the embrittlement issue, which is still under review by the NRC. We expect clarity on that by this summer. And again I think based on our own analysis we really do not believe there is any issues that I hope, that we could verified in July. But now Palisades is back on track and operating very-very well.
Operator: Thank you. And our next question comes from the line of Jonathan Arnold of Deutsche Bank. Your line is now opened.
Jonathan Arnold: Just a quick one back on sales growth, I'm afraid. I was just curious on slide 5, where you talk about existing large customers down largely on outages. But it would have been up absent outages. Can you -- how significant was the outage piece? And can you just size that relative to the delays you saw on the new customer stuff? 
Bill Mohl: Yes. Jonathan, this is Bill. I think I mentioned as part of the first question. Roughly when we, in terms of where we landed versus our expectation, it was approximately half and half. About half it was really due to timing of new and expansion projects and half was really due to only one-time unexpected issues or outages with some of our existing customers.
Operator: Thank you. And then an interest of time, our next question will come from the line of Charles Fishman of Morningstar. Your line is now open.
Charles Fishman: My Arkansas question got answered, so let me move to Mississippi with just one question. Is the new law, I mean pre- the new law, you can make an investment in infrastructure; let's say the development didn't happen, and the Commission could come back with a used-and-useful argument and disallow that investment. Is that what this eliminates? 
Bill Mohl : Charles, when you speak to the new laws and we’re talking about what was passed recently as it relates to the ability to make investment in anticipation of economic growth.
Charles Fishman: Yes. The thing you refer to on the first page you release.
Bill Mohl: Yes, I think it's really more than anything again clarity as it relates to how you can make that investment in anticipation of that growth. But I think it really goes to what’s happening in Mississippi in terms of improving relationships and their recognition, of the importance of economic development and growth, economic growth in the state, again the clarity I think was more around you can make that investments and there was an expectation. We should have an expectation that that investment would be viewed as necessary and from as rate recovery perspective market it less controversial.
Charles Fishman: Okay. That was it. Thank you.
Theo Bunting: Yes, Charles, I’ll just add. What we’ve been doing over the last couple of years is working really in partnership with all of our stakeholders in each jurisdiction. And that partnership is around, but it is it that we're all jointly trying to accomplish, we're all jointly trying to accomplish economic prosperity in the communities that we serve and that they regulate or that they have administrative controller over through the governor, what have you. So we spend a lot of time on that overall objective. And that objective being to promote economic development and prosperity in those economy. That has resulted in a better understanding between us all about what our objectives. We share and what processes that we can utilize that we can agree on. So at the end of the day legislation and laws and alternative show-up the way we would design it and then we’re going to come up the way that jointly between us, governors, legislative, bodies economic development agencies, and regulators, that we’ve been in the best interest of those, of their jurisdictions and our customers. And so what I think you’ve seen in Arkansas, where you’ve seen in Mississippi, what we’ve seen with the proceedings around capacity transmission distribution writers in Texas, what we hope to see as we continue to go forward and Louisiana is things that work and more job creation, and economic prosperity, and better communities where we serve. That’s really all we've done. But it should turn out well for us, if it turns out well for the communities. And I think that's what you're seeing in those types of legislative efforts in the regulatory outcomes that we've seen over the last couple of years. 
Charles Fishman: Okay. Thanks, Leo. But it certainly gives you more confidence in your 2017 outlook for the utilities in what's happened in Arkansas and Mississippi recently? 
Leo Denault: It absolutely does and the reason that confidence is important is if you think about what's happening in all of these jurisdictions. In Arkansas we have major customer, coming online with a steel mill. And we provide a lot of electricity too in Louisiana. We've got significant growth along the Gulf Coast as it relates to the petrochemical business. And in Texas we see not only the industrial expansion but in Texas we see significant commercial and residential load growth as well and we have to be ready willing and able to serve that load and do that while we continue with the process we started around 10 years ago refreshing the generating portfolio and continuing to meet an evolving set of reliability requirements as it relates to transmission and so. The confidence is good because it gives us the ability to deploy that capital more quickly and in ways that better meet those customers' needs. So it's a win-win for everybody.
Operator: And I would like to turn the call back over to Ms. Paulo Waters for any closing remarks.
Paulo Waters: Thanks, and thanks to all for participating this morning. Before we close, we remind you to refer to our release in Web site for Safe Harbor and Regulation G compliance statement. We will file our quarterly report on Form 10-Q with the SEC within the next week. The Form 10-Q provides more details and disclosures about our financial statement. Please note that events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statement in accordance with generally accepted accounting principle. Our call was recorded and can be accessed on our Web site or by dialing 855-859-2056; conference ID 87440452. The telephone replay will be available until May 5th. This concludes our call. Thank you